Operator: Ladies and gentlemen, thank you for standing by and welcome to the Fiscal Year 2020 H&R Block Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's program maybe recorded. I would now like to introduce your host for today's program, Colby Brown, Vice President of Finance and Investor Relations. Please go ahead, sir.
Colby Brown: Thank you, Jonathan. Good afternoon, everyone, and thank you for joining us to discuss our fiscal 2020 results. On the call today are Jeff Jones, our President and CEO; and Tony Bowen, our CFO. We posted today's press release on the Investor Relations website at hrblock.com. Also on the website, you will find a link for the webcast containing today's presentation, which will be posted after this call. Some of the figures that we'll discuss today are presented on a non-GAAP basis. We've reconciled the comparable GAAP and non-GAAP figures in the schedules attached to our press release. Before we begin our prepared remarks, I'll remind everyone that this call will include forward-looking statements as defined under the securities laws. Such statements are based on current information and management's expectations as of this date and are not guarantees of future performance. Forward-looking statements involve certain risks, uncertainties, and assumptions that are difficult to predict. As a result, our actual outcomes and results could differ materially. You can learn more about these risks in our Form 10-K for fiscal 2020 and our other SEC filings. H&R Block undertakes no obligation to publicly update these risk factors or forward-looking statements. At the conclusion of our prepared remarks, we'll have a Q&A session. [Operator Instructions] With that, I'll now turn the call over to Jeff.
Jeff Jones: Thank you, Colby. Good afternoon everyone and thanks for joining us. We hope that you and your families are staying safe and healthy in these unprecedented times. We're also saddened by the senseless acts of racial injustice which continue to plague our country and have tragically taken lives. We are committed to continue building a culture of belonging at H&R Block and doing our part in our communities to help bring about needed change. Given the events of the past several months, we have a lot to cover on today's call. First, I'll discuss how we've responded since the start of the pandemic. I'll then provide our perspective on the industry in our results, followed by thoughts on how we are executing the remainder of the tax season. I'll next discuss Wave, including an exciting new product that began rolling out to more small business owners last week. Finally, I'll share perspectives on our future and Tony will review our fiscal 2020 results, capital allocation, and thoughts on fiscal 2021. The pandemic has created business challenges beyond anything we've experienced. Our financial results have been impacted, we've drawn our full line of credit, and we've demonstrated agility and innovation, quickly making dramatic changes to our operating model to continue to serve clients. And in doing so, we've accelerated our efforts to transform H&R Block. Never has our purpose been more important as we help consumers gain access to their much needed refunds and assist small business owners as they navigate the financial uncertainty caused by the pandemic. I cannot thank our tax pros, associates, and franchisees enough for their hard work during these unique times as they have been incredibly resilient and have remained committed to providing help and inspiring confidence in our clients and communities everywhere. In mid-March, as the spread of the virus began to impact our business, we quickly turned to our crisis playbook, which enabled us to effectively and efficiently react to an extremely challenging situation. In our retail locations, virtually every state pursued lockdown policies that both affected our ability to operate and prevented people from leaving home to be served the way they want it. At the peak, nearly 20% of our office network was closed to the public. For those offices that remained open, we made dramatic changes by limiting in-person service including requiring drop-off in nearly half the network, and increasing the use of our virtual capabilities. In short, our obligation to follow local orders is subject to far greater scrutiny than local independents. Regardless of how we operated, one of our top priorities has been providing for the health and safety of our associates, franchisees and clients, while helping clients access their refunds. The teams worked diligently to keep our offices clean, followed social distancing protocols and complied with ever-changing city and state guidelines. Because of these changes, bringing digital solutions to our clients became more important than ever. As you may recall, coming into this year, our primary objective was to digitally enable every aspect of our business to deliver our expertise to consumers in new and exciting ways. These efforts have been instrumental in allowing us to meet the needs of our clients, using methods we didn't have in the past. We have seen a dramatic increase in returns leveraging our digital capabilities, including Tax Pro Go, Tax Pro Review and Approve Online feature. Approve Online, allows filers to review their returns, approve it and pay their fees all from their mobile device. With a significant portion of our clients historically visiting offices more than once to complete their returns, this capability provides tremendous convenience, especially, during these uncertain times. We also enhanced our digital capabilities for our tax pros because many of them couldn't serve clients from our offices. Within two weeks, we stood up a work-from-home model, allowing thousands of tax pros to prepare returns without having to come into the office. This capability will be invaluable moving forward. Our efforts during this crisis to continue to meet the needs of clients, digitally enable our business, and serve our clients however they want has led to strong feedback with service quality scores improving 2 points in Assisted and 5 points in DIY building on significant increases in both areas in fiscal 2019. Beyond taking care of our clients, we also took significant measures to take care of our associates. Our tax pros are our greatest asset and I'm proud of the investment we made to create a leading benefit program for our seasonal associates if they were directly impacted. And finally, I'm also proud of how we've responded in our continuing commitment to our communities. We joined the American Express, Stand for Small coalition in support of small businesses. At Wave, we provided instant payouts to all of our payments customers for free to give them instant access to their money. And we offered free tax preparation to frontline workers through Tax Pro Go in May and June, which received overwhelmingly positive feedback. With this context on our operations, I'd like to spend a minute on what we're seeing in the industry as a result of the pandemic, as well as our results. Industry returned volume has been unusual due to the filing extension as well as the stimulus package. Through June 5, the IRS reported total filings down 6%. The IRS's volume includes millions of returns completed by those who typically don't file that did so this year to receive stimulus payments. We believe the vast majority of these returns were completed through the IRS's fillable form site, which is inflating the number of DIY returns in the market. Excluding these returns, we estimate DIY e-files are down approximately 4% compared to Assisted e-files, down 15% through June 5. We expect this gap to moderate toward the end of the tax season and we'll provide more thoughts during our Q1 call. With respect to our volumes in DIY, we've maintained relatively flat shares through early June. In Assisted, we had share gains through the end of April, but are seeing that moderate in this extended filing season. It's important to recognize that an extension like this has never happened in U.S. history. So there is no precedent for forecasting consumer behavior. Despite states beginning to reopen, there is no business as usual. We have more offices open and have expanded our hours of operation compared to a typical first quarter, but a substantial portion of these locations are not serving clients in the office. Instead, we continue to interact with our clients either virtually or through drop-off. And while we have more tax pros working than normal this time of year, it is far less than the number we would have at the end of a typical tax season in April. For these reasons, client volumes may be impacted. As such, we've updated our marketing plans for the quarter to make sure consumers know we're open and to help them understand the variety of drop-off and digital options we have available. We're doing this through multiple channels to make sure we appropriately target those who haven't filed. In addition to the help we're providing consumers, we're also doing everything we can to help small business owners during this difficult time. We've added a free Small Business Resource Center on our website to provide regular updates on government assistance programs. Additionally, in May, we launched our recovery action plan service, which helps entrepreneurs navigate the CARES Act, including loan programs and tax credits. This is another great example of leveraging our human advantage. Turning to Wave, after posting strong results of over 40% revenue growth through mid-March, we've seen flat revenues in April and May as small businesses were impacted by the pandemic. We've taken measures to ensure we are limiting operating losses at Wave without sacrificing key investments in the business. Despite these actions, we expect the near term performance and resulting valuation of the business to be negatively impacted similar to many other businesses during this pandemic. As such, we have reported a non-cash impairment of goodwill which Tony will talk about later. While there has been a short term impact on the business, we remain confident in the long term viability and future growth of Wave. One reason for this confidence is Wave's innovation and the pipeline of valuable products and services we are working on for the future. A great example of this is Wave Money, which was expanded to more customers last week. Wave Money is a business bank account that does what others can't, manage all aspects of bookkeeping automatically, giving entrepreneurs more time to focus on their business. This is the first to market, software-powered small business bank account, which provide several unique benefits to Wave customers including no monthly fees or minimums, seamless integration to Wave's accounting platform for expense categorization and tax readiness and instant access to funds via Wave payments. We are excited about this product as we continue to innovate to simplify the lives of small business owners. In summary, as we navigate this new normal, we haven't lost sight of what we've accomplished this year making significant progress toward our strategic objectives in ways we couldn't have anticipated. We are taking this opportunity to thoroughly and objectively evaluate our progress, determine what we can do better and to reinforce our sense of urgency in these efforts. We remain committed to continuing the transformation of our business. We're in the process of evaluating and reprioritizing our strategic imperatives, while simultaneously, examining our expense structure to identify areas where we can save to help fund the future. This work is ongoing and will remain fluid given our current operating environment. We'll be providing more detail later this year. With that, I'll hand the call over to Tony.
Tony Bowen: Thanks, Jeff. Good afternoon, everyone. The last time we spoke, we were on track to deliver on our outlook for the tax season in the fiscal year. However, like most companies, the pandemic has negatively impacted our business and financial performance. Because of the timing of the pandemic aligned with the time in our fiscal year in which we recognize the majority of our revenue, we withdrew our fiscal year 2020 financial outlook. As such, I won't be detailing our performance against those expectations as I normally would. I will, however, provide insights regarding our fiscal year 2020 financial results, how we see the remainder of the tax season impact in our financial performance in fiscal 2021 and actions we're taking to enable continued investment for future growth. In fiscal 2020, we recognized revenues of $2.6 billion, representing a 14.7% decline from the prior year, driven by lower tax return volumes as a result of the extension of the federal tax filing deadline, partially offset by the contribution of Wave. Regarding expenses, total operating expenses increased 3.4%, driven entirely by the impairment of Wave goodwill and Wave's operating expenses. Excluding Wave, our total operating expenses would have declined, though at a lower percentage than the decline in revenue due to legal fees, COVID-19 related benefits, and planned investments in technology. We recorded $106 million non-cash goodwill impairment at Wave due to the pandemic and its impact on small businesses. As Jeff mentioned, we've been pleased with Wave's performance since the acquisition with solid growth through mid-March. However, revenue growth has slowed during the pandemic, which has impacted the invoicing and payments volume of small businesses. We remain confident in Wave's future and in our ability to continue to deliver tremendous value to small business owners through Wave's innovative platform. Turning to the rest of the income statement, interest expense increased by $9 million. Approximately half of this increase was due to higher draws on our line of credit during the normal course of the business through our fiscal third quarter. While the other half was due to additional interest associated with the $2 billion draw in late March. The changes in revenue and expenses resulted in a pre-tax loss from continuing operations of $3 million. GAAP earnings per share, was positive at $0.03 due to favorable discrete tax items. Adjusted earnings per share, which excludes the impact of the impairment and amortization of intangibles related to Wave and tax office acquisitions, was $0.84. In discontinued operations, there were no changes to accrued contingent liabilities related to Sand Canyon during the year. For additional information on Sand Canyon, please refer to disclosures in the Company's reports on Forms 10-K and 10-Q and other SEC filings. I'll now turn to capital allocation and the balance sheet. Despite the unique circumstances related to COVID-19, our capital allocation priorities remain the same. At the top of the list is maintaining adequate liquidity for our operational needs. Our current liquidity position remains strong, as we ended the year with $2.7 billion in cash, which includes the full $2 billion drawn on our line of credit. As we announced in late March, we believe we have sufficient funds to support the business at the start of tax season 2021. Our line of credit is subject to various conditions, including a covenant, which requires us to maintain a debt-to-EBITDA ratio of 3.5 times on April 30. Based on our fiscal year 2020 financial results, we did not meet this covenant, but we have secured a waiver with our lenders with no changes to the terms of our line of credit. After ensuring adequate liquidity, we then made strategic investments back into the business that we believe will drive sustainable growth, ultimately benefiting our shareholders. As Jeff mentioned, given the pandemic's impact to our business, we have undertaken a review of our expense structure to eliminate any unnecessary spend in order to continue funding the initiatives that will fuel future growth. I'll talk about these expense measures in a moment. The last step of our capital allocation process is to deploy excess capital through quarterly dividends and share repurchases. I'm pleased to announce that despite the financial impact of COVID-19 and the extended tax season, our Board of Directors has declared a $0.26 per share dividend payable July 1st. We've never missed a dividend payment since going public in 1962. We remain committed to performing an annual review of the dividend after each fiscal year. With respect to share repurchases, in fiscal 2020, we repurchased a total of 10.1 million shares for $247 million, at an average price of $24.36. We made no share repurchases in the fourth quarter. For the past two years, we have committed to, at a minimum, repurchasing shares to offset dilution from equity grants and opportunistic share repurchases thereafter. Given the uncertainty created by COVID-19, we have not yet determined our share repurchase approach for fiscal 2021. I'll now discuss our thoughts on -- regarding fiscal 2021. As a reminder, last year, we provided our fiscal year financial outlook on our Q4 call. Given, we haven't yet completed the current tax season and there remains uncertainty due to the pandemic, we will not be providing a financial outlook at this time. Instead, we plan to provide a tax season recap on our first quarter call in September and our full financial outlook for fiscal 2021 on our second quarter call in December. Let me provide some high-level thoughts on how we expect to close out the tax season and our efforts to mitigate cost increases as a result of the extension. First, while it's natural to expect all volume loss in Q4 of fiscal 2020 to shift into the first quarter of fiscal 2021 that may not necessarily be the case. As Jeff mentioned, during this quarter, we are still operating under a modified model. While we have more offices open than usual, we are still operating with just half of our total network and a substantial portion unable to serve clients face-to-face. This may impact our ability to retain clients and attract new clients to the brand. Regarding expenses, due to the extension of the tax season, we anticipate additional cost during the first quarter. We expect an increase of approximately $10 million in marketing expense and approximately $10 million in interest expense. Additionally, we expect variable expenses related to compensation, benefits and bad debt to be approximately 40% of incremental assisted revenues generated. We are actively evaluating ways to mitigate any additional cost by taking a detailed look at all spend categories, and making prudent reductions across our business. We're still in the process of finalizing these plans, but I can offer a few areas of focus, including renegotiating rents with landlords across our retail footprint, implementing a hiring freeze, eliminating merit increases for fiscal 2021, examining vendor spend to renegotiate existing contracts, and reducing capital expenditures to only what is necessary. In addition to these savings, we have entered into a non-binding letter of intent with MetaBank to be the provider of our financial products, including Refund Transfer, Refund Advance, Emerald Advance and Emerald Card which will result in savings. MetaBank is a leader in providing financial solutions to consumers and have significant experience in the tax preparation industry. We're excited to partner with them to continue providing valuable products to our clients. In summary, we've taken prudent steps to adjust to the pandemic, including our modified operating model, line of credit draw, and cost reduction efforts. These measures will allow us to operate effectively, while enabling continued investments in our future. With that, I will now turn the call back over to Jeff.
Jeff Jones: Thanks, Tony. I'd like to again thank our franchisees, associates and tax pros, who are continuing to live our purpose. We've been challenged during the last few months unlike any other time in our history. The resilience and dedication of our team, our strong financial foundation, and our ability to adjust our operating model has enabled us to continue delivering tremendous value to our clients at a time when they need us most. I am confident we'll come out of this crisis stronger than ever as we continue the work to transform our business. I look forward to speaking with you in September. With that, we'll now open the line for questions. Jonathan?
Operator: Certainly. [Operator Instructions] And our first question comes from the line of Jeff Goldstein from Morgan Stanley. Your question, please.
Jeff Goldstein: Hey, guys. You mentioned seeing Assisted share gains moderating in the extended tax season. So, I'm just curious, what you attribute that to? And then are there any strategies in place to mitigate that in the final month of the season here?
Jeff Jones: Absolutely. Thanks for the question. So, if you think about our operating model, as we said in the prepared remarks, there really is no normal about how we're open as in Assisted business. In many, many places, we are operating in drop-off-only, and even when we are serving clients in an office, there are many steps we've taken to protect both the tax pro and the client. For example, they both sit in separate cubicles, just as one small example. And I think the fact is, as a national retail brand, we are subject to the scrutiny of following local orders quite differently than local independents. For example, we operate in a strip center an independent may operate in a building or honestly at their kitchen counter. So that scrutiny, and how we have to operate has really disrupted the way that our clients know and have come to expect how they do business with us. So – and we see that, that could have an impact on our ability to serve clients. Now, that said, the entire organization is focused on winning in Q1 and there are several steps that we're taking in order to offset that. I think one of the biggest things we're doing is making sure that we're doing everything we can to retain the clients we've had that, we know haven't filed yet. And so we can reach out to them individually, and honestly, what we tried to do is to pull them forward to mitigate the possibility of having a rush at the end of the season like we would normally see in April. In addition to that, really in all channels of marketing, television, performance marketing, email marketing, we're making sure that clients know: A, we're open. Obviously, we're open in ways that normally H&R Block isn't open this time of year; and B, making sure they understand the full breadth of options of how we can serve them, whether it's coming to an office under those conditions, drop off, virtual, et cetera. So we're taking steps to mitigate it. But there's no question, it's kind of hard to overstate how unusual our operating model is in the retail footprint.
Jeff Goldstein: Understood. That's helpful. And then, I'm curious, is there any longer term opportunities beyond this initial COVID period. For instance, like, do you think the success of some of these digital and drop-off services could result in a lower physical footprint in the future or maybe there is something else that you think changes in a post-COVID world? Just curious of your thoughts around the opportunities longer term?
Jeff Jones: Yeah. Great question. Over the last couple of years, in particular, we've really been accelerating our investments to build these virtual capabilities and there is no question, this pandemic has really shined a light on those capabilities, and I can say with confidence, they're very strong. Our ability to serve clients, whether it's approving their return online or getting various forms of assistance, if you a DIY filer, are all capabilities that we know that we've been doing a great job of building and perfecting. Now that said, consumer demand, Tax Pro understanding, there is still more work ahead for us to make sure that people really understand this as an easy safe option. If you take a big step back from that, over time, certainly, as business shifts, we have flexibility to think about our retail footprint. When I look at tax season 2021, I am confident our footprint will look more similar to 2020 like it is today, but unlocking these digital capabilities and enabling people to get human help on their terms has been part of our strategy now for a couple of years and really, really shone through in this time.
Jeff Goldstein: Got it. Thanks a lot.
Jeff Jones: Thank you.
Operator: Thank you. Our next question comes from the line of Scott Schneeberger from Oppenheimer. Your question, please.
Scott Schneeberger: Thanks very much. Good afternoon. I guess, guys, you mentioned some numbers for the IRS filing and backing into that, it looks like you said that about 6 million stimulus returns were filed. Do you think that's over or do you think there is more to come? We've seen numbers out there that it could be as large as 10 million. I would have thought that, that would have occurred by now for those who were going to do it. But just thoughts on what remains there from what you know at this point. Thanks.
Jeff Jones: Yeah, Scott. So, yeah, that's about what we see as well, when you back out those from kind of what's being reported by the IRS. Obviously the IRS hasn't reported that number publicly yet. We're working with them. We think it's important ultimately, to be very clear about what that number is. We do not think there is going to be a second round of stimulus payments, based on everything we're hearing and learning in Washington. So that would suggest that most of that wave is over, that people -- obviously with the economy the way it's been, people were very eager to get their stimulus payments and we definitely saw in our own product that we changed to allow a zero dollar return, as well as the fillable forms at the IRS that there was a very, very big rush to make sure people were registering their bank accounts. So we'll see where the number nets out, but based on what we know today, we would say most of that's behind us.
Scott Schneeberger: All right, thanks, Jeff, on that. Similarly, in the DIY category, Free File Alliance, that was around mid-April -- April 10, it was actually. The IRS updated that they had seen a 28% increase year-over-year, 2.9 million returns versus 2.3 million and versus 2.8 million for the whole of tax season last year. So that's elevated. Just would like to get your perspective on what's occurring there. And is that a dynamic that you think slows down going forward or will we see some more Free File Alliance activity in the final peak? Thanks.
Jeff Jones: Yes. So you're right on. That's the number that they reported at 28% and our results at H&R Block were right in line with that. I think that growth is a reflection of just simply more attention paid by the IRS, communicating the benefits of that program this year. Absolutely. It's important to also note today that last week, I had a conversation with the Commissioner of the IRS to let them know that at the end of this tax season in October, we would be stepping out of the partnership with Free File Alliance. It's been an important partnership for almost two decades. And as we've really reassessed all of our priorities as a company, as I mentioned in the prepared remarks, we believe it's in the best interest of the company to move forward in a different direction and the fact is, and I shared with the commissioner, it's a positive program and we've been happy to participate in it for 20 years. The fact is there are many different ways to file for free now. The industry dynamics are quite different. We offer three ways to file for free outside of the Free File program. And so we just think it's in the best interest of the company to move forward in a different direction, and we let them know that last week.
Scott Schneeberger: Thanks, Jeff. And I'll turn it over and hop back in the queue. Just a follow-up on that. That's an interesting development. In those conversations, do you anticipate the IRS, moving in a different direction from the Free File Alliance, might they ultimately, and given your decision and – might they become more involved themselves just from anything you are in? Thanks.
Jeff Jones: Yeah. Another great question. Obviously, the Alliance was comprised of more than H&R Block. So there are many other companies that are participating. We're not aware of any one else's decisions. We think we're leaving with the program on strong footing having three years of growth in a row and the IRS has always maintained the option to do something different, to do this themselves. That's always been present in the MOU each year. And so we don't think our decision, in particular, changes that. But we're not aware of any other companies' decisions.
Scott Schneeberger: Thanks, Jeff. I appreciate the color.
Jeff Jones: Yeah. Thank you.
Operator: Thank you. Our next question comes from the line of Kartik Mehta from Northcoast Research. Your question, please.
Kartik Mehta: Hey, good afternoon. Jeff, I'm just wondering what your thoughts are for this tax season in terms of just industry growth for the Assisted channel and the self-prepared channels since there's been so many moving parts.
Jeff Jones: Absolutely. Let me try to break it down into a few different buckets and bear with me because to your point, there are a lot of different pieces here. I think the first thing I would say is, we went into the season expecting about 1% growth in total and, as an industry, we don't expect COVID to have an impact on that. So total industry growth about what we thought going into the pandemic. Obviously, there have been so many things happening in the industry really since mid-March. The stay-at-home orders, all of the local and state requirements, the filing deadline decision. You may remember in May, before the deadline was extended, there was a lot of confusion because it was announced – balance due was extended but the deadline wasn't extended. So, then the stimulus payments kicked in. So a lot of things that really caused confusion and delay. As we said in our prepared remarks, through June 5, e-files for Assisted, down 15%, DIY, up 7%. We think when you pull out those stimulus payments, DIY are down about 4% and we have seen a shift between Assisted to DIY of just shy of 300 basis points. So that's kind of how we see the current dynamic. And over the balance of this season, as orders starts to become listed and people start to get back to normal, we expect the end of July through the 15th to feel more like through April 15. We recently did a survey of about 10,000 consumers, who have not yet filed and asked them why. And the answer was, because we don't have to yet. The second answer was around safety. So you definitely have this sense of even though the IRS is open and even though peak of the tax season is still under way, it feels like people aren't yet ready to complete and we think the July 4 holiday is going to be kind of a wake up, and all of a sudden the deadline is going to be close. One of the things we've been paying really close attention to, obviously, is the Assisted to DIY migration and we expect that to moderate as the season comes closer to July 15. But if I just take a step back from it, this is second year of tax reform, the conditions for massive shift to DIY couldn't have been more present than this year. People were told to stay home. There are all kinds of conditions. And even with all those conditions, so far, it's only shifted about 300 basis points. And again, we expect that to moderate to end higher than it did last year, but to ultimately be less than 300 basis points. So again, a lot of moving parts, as you said, but we're paying close attention to that migration and the consumer behavior.
Tony Bowen: Just real quickly, Jeff, the one thing I would add on just to clarify is our expectation for the industry at 1% does exclude the stimulus returns that have been filed, obviously. So, we're kind of backing those out just, because they're so unusual and not a typical tax return, but as Jeff said, we have no reason to believe that overall tax return volume would be materially different than what we thought at the beginning of the season.
Jeff Jones : Yes. Thanks for that.
Kartik Mehta: And then, Tony, as I look at the adjusted EBITDA you reported for this year, there was a significant decline, much more so than revenue. And I'm wondering -- I understand some of the increased costs, but maybe you could walk through why there was such a discrepancy between revenue and EBITDA.
Tony Bowen: Yes, I mean, we definitely had some one-time expenses that hit us, but also when we think about the variable cost in our business model that you know very well. Kartik, a lot of the drop in revenue does drop to the bottom line. I mean, if you think about the decline in the DIY business, for example, almost a huge percentage of it drops to the bottom line. And in the Assisted business, you're essentially offsetting revenue declines with a little bit of saving in labor. But as we've talked about that labor ratio usually runs 25% to 30% and we didn't even see that big of a drop this year, because we did have some incremental COVID-related expenses due to some special benefits we put in place. So that's why we did have such an impact on EBITDA relative to the decline we saw in revenue.
Kartik Mehta: And then just on capital allocation, Jeff, I know you mentioned that you paid dividends through since the company went public. And it sounds like that the shift from DIY -- from Assisted to DIY isn't going to be as great as maybe originally thought. And so next year's tax season, obviously will be better, because you're going to get all the people that didn't file this year. So it sounds like as long as the EBITDA growth is kind of where it was in the past or the absolute dollar amount, the dividend is something that the Board seems committed to pay. I know it's a long-winded question or statement, but is that reasonable?
Tony Bowen: Yes. Kartik, I'll take this. So this is Tony. We've shared that, typically, after the end of the fiscal year, we review the dividend, which obviously is right now. So we're pleased that the Board is continuing to support the dividend at the prior rate of $0.26 per share. You may recall that we raised the dividend four prior years in a row, so really pleased with the increase over that period. I think we're up over 30% over that four-year period. So the fact that, obviously, with revenue being down given the shift from Q4 to Q1, and EBITDA being down, we're really pleased that we're able to maintain given that's at current rate. Obviously, next year, we're looking toward a favorable year with kind of a double dip of tax season happening in Q1, and then we'll continue to review the dividend after each fiscal year which would be this time next year.
Kartik Mehta: Yes. Thank you. I appreciate it, Tony and Jeff.
Jeff Jones : Thanks, Kartik.
Tony Bowen: Thanks, Kartik.
Operator: Thank you. Our next question comes from the line of George Tong from Goldman Sachs. Your question, please.
George Tong: Hi, thanks. Good afternoon. Based on your marketing outreach to customers, do you have insights into how many traditionally Assisted customers at H&R Block has filed their returns digitally already, either through H&R Block or through a competitor?
Jeff Jones: So, we definitely do research, George, trying to understand method and whether it was us or competitors. And I think the thing that we learned in this study, I mentioned earlier, was, people made some different choices this year as a result of the circumstances. The overwhelming majority of the people we spoke to told us that their stated intention for next year is to go back to what they're accustomed to doing. And, again, I think, when you just look at all the circumstances that were ripe for rapid migration to DIY this year, and we haven't really seen that, and again we think it will moderate as the season closes out, just continues to reinforce our core belief that it's not about simplicity, it's about confidence and people really having a preference for relationship or getting human help. Even in our DIY business, we're very pleased to see that Online Assist and Tax Pro Review have really shown meaningful growth this year. So those are DIY filers, who, at some point in the process, decided they also wanted help. And they either chose to get questions answered or to have a full review of their return. So again, if we just take a step back, consumers are telling us -- some made a different choice this year because they had to, they expect to return to their prior method next year in large numbers and the capability we're building to provide help, no matter the channel, is a really important capability we've been building and really came to light this season.
George Tong: Got it. That's helpful. And then turning to the Wave business, you indicated that revenue growth was approximately flat in April and May. Can you talk about what your expectations are for Wave growth longer term in light of the impairment that you took? Has your longer-term view for Wave changed and how are you adjusting your investment spend, given the evolving growth dynamics?
Jeff Jones: Absolutely. The short answer is, we stepped backwards because of what's happened in the macro landscape with small businesses. As their businesses were impacted, it obviously impacted Wave's ability to serve them. But we have not changed our expectations on having bought a high growth company and importantly to say neither has Wave. As I work closely with that team and their bench, they are fully committed to growing fast like we used to and we're paying close attention to the recovery of small businesses in the market. We're talking actively with small business owners every day and we've seen a nice little change in June and we're going to be trying to do everything we can to get back to high growth rates in the near future.
George Tong: Got it. Thank you.
Jeff Jones: Thanks, George.
Operator: Thank you. Our next question comes from the line of Hamzah Mazari from Jefferies. Your question, please.
Hamzah Mazari: Good evening. Thank you. My first question is just, if you think the tax deadline could potentially be extended again to September. And then just as part of that, if you could just tie in what your cash burn looks like relative to the liquidity. I think you mentioned you have enough liquidity through fiscal 2021. You mentioned the covenant waiver. But we didn't catch sort of timing of how long that waiver lasts. So any detail would be appreciated. Thanks.
Jeff Jones: Absolutely, Hamzah. Let me take the first part and Tony will tag team on here on the waiver. But there's been a lot of rumors flying, as you've probably seen, about the possibility of another extension. And as recently as this morning, the sentiment in Washington is that there will not be another extension. And while, obviously, that's not our decision and we don't know if there's things, we don't know, but all of the commentary we get, all the conversations we're having, those with members in Congress and Senate, with Treasury, with the IRS is the current sentiment is no more extension.
Tony Bowen: And specific to liquidity, as I did say in my opening comments, we do believe we have enough liquidity to get us through to next tax season to be obviously, January, February of 2021. And the waiver was specific to April 30. So, it's just that quarter end. We have a debt to EBITDA ratio of at least or no more than 3.5 times and we did not achieve that, given the level of EBITDA that we had in the trailing 12-month period. But as we continue to move forward, obviously picking up the Q1 results will be -- which will be an improvement in EBITDA on a year-over-year basis. It was really just one-time in nature. We'll continue to monitor that as we view EBITDA on a historical basis, but again expect no issues from a liquidity perspective going forward.
Hamzah Mazari: Got it. Thank you. And my follow-up question, I'll turn it over is, it looks like you're rethinking your operating model, post-COVID, most companies are, whether it'd be real estate footprint or any other dynamics. Is this different relative to what you were doing in regard to tech transformation and looking at your operating model when you sort of first came into H&R Block? And then timing-wise, when can investors hear back on whatever changes you may have, post-COVID, to the operating model? Thank you.
Jeff Jones: Absolutely. To answer your second one first, on our September call, we'll talk obviously about how the quarter wrapped up and the season wrapped up. And on our December call, when we provide outlook on the future, will be the time when we provide more context on how we're thinking about expenses, our commitment to earnings and revenue growth moving forward and really the result of all the strategic reviews that we're doing right now. In many, many ways, COVID has accelerated our agenda, as opposed to being something completely different. We've been talking now for a couple of years about improving the quality in our offices, competing aggressively in DIY, building virtual capabilities and having done those things going into the pandemic, it really helped us operate in a fundamentally different way. And I think as we now come out of the pandemic, we will take a step back again and look at what have we done for tax pros, what have we done for consumers, and which of those do we want to accelerate even further and moving forward.
Hamzah Mazari: Thank you.
Jeff Jones: Thanks, Hamzah.
Operator: Thank you. Our next question is a follow-up from the line of Scott Schneeberger from Oppenheimer. Your question, please.
Scott Schneeberger: Thanks very much for taking the follow-up. I actually have two, pretty straightforward. The first one is kind of qualitative. Jeff, what do you expect from competitive behavior storefront? I sensed a lot of caution in your comments today because you guys are clearly abiding by the rules. Do you think that in the Assisted category, there are others, smaller and less visible that maybe have an edge because they can be a little bit more flexible? Just curious of your thoughts on that and then a follow-up for Tony after. Thanks.
Jeff Jones: Yeah, absolutely. And you know quite well that there are 250,000 independent locations in that zone. So, there are lots and lots of independent competitors, which we always compete against. And in this case, we think that we have a different obligation, a different burden to have to follow the local orders that are being put in place that are different than if you are operating in an office building or if you're doing 20 or 30 or 50 returns at your kitchen table, where that scrutiny just isn't at play. And we take a lot of pride for protecting our people, protecting our clients and operating in the safe required way, but you have seen firsthand or you've heard from other retailers, the local orders are very intense. They change regularly and staying current on those just puts a burden on our ability to serve clients the normal way they're used to being served. That just isn't the same if you're one of these local independents.
Scott Schneeberger: Thanks, I appreciate that color. And then, Tony for you, the new bank partnership. I know it hasn't finalized yet, so I'm not sure how much you can share prior to that, but you've alluded to in a press release or filing, improved economics. Could you elaborate a little bit on what you might expect just to give us a sense of the benefit there as a model? Thanks.
Tony Bowen: Yeah. Thanks, Scott. As you said, we haven't signed a definitive agreement. We've signed a letter of intent, which we announced several weeks ago, so we're pretty far along and we're now finalizing those details, and hope to be signing a final agreement really, really soon. That agreement should be in place before next tax season. So all of our product offerings for tax season 2021 will be with that new bank partner, MetaBank, we're really excited to partner with. As far as the economic side, all we're saying at this point is it will be a savings relative to what we're currently operating under. But as far as the details, we're going to hold off and share those once we have the final agreement in place.
Scott Schneeberger: Okay. Fair enough. Thanks, guys.
Tony Bowen: Thanks, Scott.
Jeff Jones: Thank you.
Operator: Thank you. Our next question comes from the line of Jeff Silber from BMO Capital Markets. Your question please.
Jeff Silber: Thank you so much. Wanted to go back to results so far on the tax side, I know there's a lot of moving parts with the IRS data, but I'm just curious for this tax season, do you think you'll be gaining or losing share in both DIY and Assisted? If you could talk about those separately, that'll be great.
Jeff Jones: Yeah. So through early June, our DIY share has remained relatively flat, and we are competing aggressively with the value prop in the strategy that we've been doing. And our goal is to gain share. I mean, that's what we're trying to do, but we've seen it be relatively flat through June. In Assisted, as I mentioned, it's really, kind of, been a tale of two seasons. Early in the season, we felt great about our progress. Through the end of April, we had some share gains, but we have started to see those moderate, and just building on what I was sharing with Scott earlier, explaining why we're being cautious about that. I would just reiterate what I also shared earlier in terms of the approach we're taking to retain and bring forward prior clients we know haven't filed, and the broad marketing that we're putting in the market to make sure that people know that we're open and that they have various options to do business with us. So those are steps we're taking to mitigate the caution given the operating model.
Jeff Silber: Okay. And I don't think you talked at all about net average charges. Can you talk about what happened in the quarter? What you're seeing from a competitive perspective? Are there any pricing changes going on there? Thanks.
Tony Bowen: Yeah, thanks. Specific to the Assisted business, just to recall, this is the second year of our upfront transparent pricing model. We went into the year expecting net average charge to be relatively flat compared to the prior year. The results for the fiscal year are down slightly, which you'll see in our full filings of our 10-K, which is -- will be found imminently. Part of that is just due to a shift of clients from Q4 into Q1 and some of the mix impacts from that, but nothing that's significantly material. I don't think we're seeing anything from a competitive perspective that's unique or different, obviously, when you're dealing with the independent market, there's always a wide variation of how independents are pricing, but there is nothing that's been a holistic change or response to our pricing model, that I would call a note. Everything is pretty much as we would expect and we still feel good about the model and, as Jeff said, through the early part of the tax season, we were gaining really good traction and continue to do well, but definitely moderated in this later part of the season. But we feel like we're putting some really good things in place that's going to allow us to have success and gain market share in the future.
Jeff Silber: And I'm sorry, when will the 10-K be filed?
Tony Bowen: Today.
Jeff Silber: Today? Okay. We'll get that information today. Okay, great. Thank you so much.
Operator: Thank you. Our next question comes from the line of Michael Millman from Millman Research Associates. Your question, please.
Michael Millman: Thank you. Hi, there. I misheard when you talked about the do-it-yourself and subtracting the stimulus, but the IRS numbers as far as I know already subtracted those numbers, and they still come up with 7% increase. What am I doing wrong?
Jeff Jones: Well, Michael, in fact the IRS numbers have not subtracted those out yet, and the IRS has not published the actual number of those, kind of, not required to file filers. So the number that's being reported by the IRS still includes, as someone said earlier, about 6 million filers that haven't yet been backed out.
Michael Millman: So your current total returns, is what for the IRS?
Jeff Jones: Based -- so through June 5, total down 6%.
Michael Millman: No, no. Actual numbers, please.
Tony Bowen: Yeah. I don't know, Michael, if we have the numbers. We can definitely follow-up. I mean, it's -- look, public information is out there. If you back out what we believe are the stimulus returns, we believe IRS returns are down about 10% through June 10, which is a combination of Assisted and DIY, with Assisted being down 15% and DIY being down about 4%. But we don't have the exact counts. We can follow-up on those. We've got those, just not at our fingertips.
Michael Millman: Okay. I'd be interested in, seeing those numbers. And over the years, it doesn't seem that DIY shifts back more than the average getting -- changing status and all that kind of thing. Why do you think that next year, particularly 2022, maybe we should talk about, is going to be shift back -- shifting back?
Jeff Jones: Yeah. So I'll try to be more, clear on, kind of what we're seeing and maybe expectations for next year. My comment about this year was, season to-date, we're seeing a shift of just under 300 basis points. And we expect that will be less by the time we get to July 15, year-over-year-over-year we see that gap moderate, as we get toward the end of tax season. So that's how we kind of view this year finishing. And part of what we've been reflecting on is, there has been a lot of belief that in year two of tax reform, there would be a much faster migration to DIY. And then when you combine year two of tax reform with all of the conditions, people not being able to leave home, offices closed or not operating normally, et cetera, one could have expected that migration to be much higher at this point than 300 basis points. But we're not seeing that happen. With respect to next year, what I was referring to was a piece of research we did just to understand consumer intentions. And that is what it is. It's their intentions about next year. And we surveyed over 10,000 consumers pre and post-COVID. And what we heard from consumers was, this year people made different choices because they had to. And that when you ask them now about next year, their intention is they'll go back to the way they used to file. And so that's what we're seeing. In terms of what people are telling us is, they may have moved to DIY this year because they had no choice, but their preference is to do their old method. And that's what they're saying about next year, so two different points that we're trying to make.
Michael Millman: Okay, great. Thank you.
Jeff Jones: Thanks, Michael.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I would like to hand the program back to Colby Brown for any further remarks.
Colby Brown: Thanks everyone for joining us. This concludes today's call.
Operator: Thank you, ladies and gentlemen, for your participating in today's conference. This does conclude the program. You may now disconnect. Good day.